Operator: Welcome to the global conference call of Daimler. At our customers’ request, this conference will be recorded. The replay of the conference call will also be available as an audio demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Bjorn Scheib, Head of Daimler Investor Relations. Thank you very much.
Bjorn Scheib: Good afternoon, ladies and gentlemen. This is Bjorn Scheib speaking. On behalf of Daimler, I would like to welcome you on both the telephone and the Internet to our Q1 results conference call. Today, we are very happy to have with us our CFO of Daimler, Bodo Uebber. As always, in order to give you maximum time for your questions, Bodo will begin with a short introduction, directly followed by a Q&A. Now, I would like to hand over to Bodo.
Bodo Uebber: Thank you, Bjorn and god afternoon. Our Q1 numbers reflect the expected weak start in to 2019. They are the result of the slow macroeconomic and multiple challenges in connection with our value chain. Nevertheless, we have achieved solid results. To be more precise, in the first quarter of 2019, Daimler sold almost 747 vehicles worldwide. This has been achieved above all through our attractive product portfolio of [indiscernible] and commercial vehicles. At the CES in Las Vegas, we presented the all new CLA, which has grown in size and status.  The design and coupe character significantly underpinned its prime position among compact cars. The interior is equipped with the advanced MBUX infotainment system, which is an industry benchmark. At the Geneva Motor Show, we provided the first glimpse of the all new Smart for E+ and the V Class with the new generation of the GLC, we are continuing the renewal of our SUV fleet. In addition, we proudly presented the concept EQV, the world’s first all-electric, large capacity in the premium segment.  At the CES, Daimler Trucks presented the first partially automated actual truck in serious production in North America. With the acquisition of a majority stake in Torc Robotics, a pioneer in the field of autonomous driving, we are creating a powerful and innovative team to bring level 4 automated trucks on to the road. Particularly noteworthy is that the development of our mobility services in the first quarter of 2019.  Together with BMW Group, we are pulling on mobility services to create a new global player, providing sustainable urban mobility services for our customers. We are intimating our offerings for car sharing, ride hailing, parking, charging, and multimodal transport. We want to create a relevant player with already more than 66 million customers worldwide. To the financials, group revenue is EUR39.7 billion. When adjusted for foreign exchange effect, revenue is at prior year level. EBIT decreased significantly compared to last year's earnings to EUR2.8 billion due to significantly lower EBIT at the Mercedes Benz cars, Daimler buses and Mercedes Benz vans divisions. The significantly higher EBIT at Daimler Financial services did not offset these effects. Net profit attributable to our shareholders decreased to EUR2.1 billion, equivalent to EUR1.96 per share. The free cash flow of the industrial business resulted in a cash outflow of EUR2 billion in the first quarter of this year. The sharp decrease resulted in particular from higher buildup of inventories, especially at Mercedes Benz cars as a result of model changes, as well as lower unit sales due to general market developments and constraints on vehicle availability in some international markets. In addition, the development of trade payables had a negative impact on working capital, especially at Daimler Trucks. Another factor is that investments in property, plant and equipment increased. Therefore, the net liquidity of our industrial business declined to EUR11.3 billion at the end of the first quarter. Furthermore, due to implementation of the IFRS 16 accounting standard, we have a one-time effect, negative effect on net liquidity of EUR3.2 billion. Now, let's take a look at the performance of the individual divisions. Mercedes Benz cars sold 555,000 units in the first quarter of 2019, which is about 7% below the high level of the previous year, mainly due to ongoing model changes for SUVs and compact cars. In China, Mercedes Benz car’s largest sales market, 173,000 units, were sold from January to March. In the first quarter of 2019, earnings were adversely affected by a decrease in unit sales and the change in sales structure.  The reasons for the lower unit sales include the general market consideration, model changes and constraints on vehicle availability in some international markets. Additional factors with a negative impact on earnings were weaker pricing, exchange rate effects and advanced expenditure for new technologies and vehicles. The general conditions for our business remain anything but easy, but demand for our cars continues to be at a solid level. We are particularly looking forward to the market launch of the EQC, which will take place in early June. In the course of our electric offensive, we are expanding the global battery production network of Mercedes Benz cars to 9 factories on 3 continents by opening a new battery factory in Jawor in Poland. In order to adapt to all market changes and driving technologies rapidly, we have opened a new car plant in Moscow. The feature is flexible and green production and will apply modern industry 4.0 technologies. Mercedes Benz vans unit sales increased by 4%, especially for the splinter. Worldwide first quarter sales increased by 20%. The van division’s EBIT amounted to minus EUR98 million. EBIT was affected by expenses from the adjustments of production capacities in Russia and Argentina. After reviewing the business case, and alliance with the parties involved, it was decided not to produce the Mercedes Benz X class in Argentina. In addition, earnings were impacted by upfront expenditures for new technologies, ramp up costs for new products, exchange rate effects and expenses for warranties and goodwill. In addition, ongoing governmental proceedings and measures taken for diesel vehicles had a negative impact on earnings. Higher unit sales made a positive contribution to earnings. Daimler Trucks sold 116,000 units in the first quarter in the NAFTA region, Brazil and the EU30 region. Sales were significantly above previous year's levels. As expected, the order intake in the first quarter was 45% below the prior year, mainly due to the premium and business class in the NAFTA region. As current sales figures in the NAFTA region are at a historic high and the book to bill ratio of 57% is accordingly low.  However, total order backlog of 112,000 units continues to be at a high level. Please also keep in mind that we have a conservative incoming order system. The truck division’s EBIT decreased to EUR582 million, advance payments for new technologies and vehicles as well as additional costs, mainly resulting from bottlenecks in the supply chain had a negative impact on EBIT, higher expenses for raw materials and a weak Turkish market had further negative effects. Unit sales at Daimler buses decreased by 4% in the first quarter, mainly caused by lower unit sales in Europe. The division’s EBIT decreased to minus EUR21 million, mainly due to short term delivery delays, caused by an internal certification process for coaches and intercity buses. Around 700 vehicles were delayed in the first quarter. Daimler financial services had another good first quarter. The division’s EBIT increased significantly to EUR1.2 billion. At 35.7%, return on equity was above the previous year figure of 17.9%. Contract volume grew by 2% compared with the previous year’s figure. There was a significant impact from the merger of the mobility services of Daimler and BMW, which resulted in a book gain of EUR718 million, further positive effects resulted from the increased contract volume, the rise in interest rates and higher cost of credit risk at counteracting effects. Now, what does all of this mean for our divisional expectations for the full year 2019? Overall, we confirm the outlook we provided at the annual end of this conference at the beginning of February. We expect slight increases in unit sales, revenue and EBIT for the Daimler Group. Based on current exchange rate developments, we assume that negative foreign exchange effects will be in the magnitude of EUR500 million to EUR1 billion. In the coming quarters, we will work intensively on our efficiency and review existing structures. Furthermore, we will push ahead with the four key future topics of our industry, connectivity, autonomous driving, sharing and e-mobility. In the divisions, the following effects will have a positive impact on the further course of 2019. At Mercedes Benz cars, we expect further vehicle availability in the course of the year. Furthermore, Mercedes Benz intends to launch more than a dozen new and upgraded vehicles in 2019. Sales momentum is expected in the high growth SUV segments. And of course, we will prioritize the ramp up of GLE in Tuscaloosa and accelerate deliveries to the customers as the year progresses. In light of a step-by-step improving product availability, we expect EBIT in the second half of the year to be significantly better than in the first half. Mercedes Benz vans now plans a slight increase in sales for 2019. In addition to the USA, the division expects growth in the EU30 region. The new Sprinter, which was launched in mid-2018 is expected to contribute additional momentum in 2019. From the Mercedes Benz vans and portfolio electrification perspective, we are looking forward to the second half of this year. We presented the concept EQV in Geneva. Our aim is the Mercedes produced EQV model will have its worldwide premiere at the Frankfurt Motor Show this September. Against the background of expenses from the adjustment of production capacities in Russia, the decision not to start the production of the X class in Argentina, in connection with the start of production of the Sprinter in Charleston, as well as ongoing governmental proceedings and measures taken for diesel vehicles, the Mercedes Benz van division has adjusted its expected unit sales downwards and return on sales to 0 to 2% for this year. At Daimler trucks, we continue to anticipate a slight increase in unit sales for 2019 compared with the previous year, in particular in both the NAFTA region and the EU30 region. We expect further sales increases in Brazil and India. In view of the continuing considerable economic uncertainty in Turkey, Daimler Truck expects its unit sales there to decline significantly. Sales are expected to decrease also in Indonesia. Daimler Buses anticipates a significant increase in unit sales for 2019. This is based on a slight sales growth in the EU30 region and a significantly positive sales trend in India. Unit sales in Latin America, excluding Mexico, are expected to remain at previous year's level. The eCitaro can be ordered as of now and Daimler buses has already received a record breaking order to supply 56 electric urban eCitaro buses to the city of these in the second quarter. Daimler Financial Services expect a slight increase in new business and further grows in contract volume in 2019. This is primarily due to the sales developments in the automotive divisions. 2019 continues to be a year of a big change, we are restructuring our company, we are accelerating into the new area -- era of electric mobility and we are pushing connectivity, autonomous driving and mobility services into a new dimension. We recently announced the formation of a 50-50 globally focused joint venture together with Zhejiang Geely Holding Group to own, operate and further develop smart, the pioneer of small urban cars as a leader of premium electrified vehicles. Under this joint venture agreement, a new generation of smart models will be assembled at the new purpose built electric car factory in China, with global sales due to the beginning in 2022. The synergies from this corporation will lead to mutual benefits, to accelerate progress and further combine the expertise, Daimler AG and the BMW Group want to pull their strengths in automated driving. As a first step, the development of driver assistance systems and automated driving on highways and automated parking assistance is to be advanced in the next technology generation. The two companies signed a Memorandum of Understanding at February 28. On this basis, both parties agreed to later open up this cooperation to other companies. We are optimistic about the future. At the annual shareholders meeting on May 22, 2019, we will take the first steps towards implementation of the new corporate structure by seeking the final approval of the shareholders. The course has been set for project future to give all our divisions greater entrepreneurial freedom and positioning them even closer to their markets and customers to develop further revenue and business potential. Further concrete benefits include the division of the company's increased management accountability, due to the dedicated decision making boards in the new entity, as well as the ability to enter focused partnerships and co-operations if necessary. Moreover, we will only be successful in the long term, if we align the group even more strongly towards sustainability in all dimensions. Achieving the financial targets for 2019 has not become easier since the first quarter. In order to fulfill them in our strategic return targets again at all divisions, great efforts and the focus deployment of resources are essential this year and in the years to come. We must therefore increase availability to deliver, reduce cost, and strengthen methods to increase efficiency and flexibility throughout the company. Because in view of the major changes taking place in the automotive industry and in individual mobility, there is no alternative to short term cost cutting measures and long term strategic decisions. And on a personal note, as this may be my last quarterly conference as CFO of Daimler AG, I would like to take this opportunity to thank you for your very constructive cooperation and support over the past years. The only request and wish I have that you support Harald Wilhelm, as you have done it with me and also the finance team. I wish Harald and the finance team all the best. Thank you very much for your attention.
Bjorn Scheib: Thank you very much, Bodo. So ladies and gentlemen, you may ask your questions now. The operator will identify the questioner by name. But please also introduce yourself with your name and the name of the organization that you're going to represent. A few practical point as always. Please avoid using mobile phones, as well as hands-free speaking systems. Done, ask all your questions in English. And please try loud and speak and clear so that everybody can understand your questions properly. Last but not least, as a rule of procedure and fairness, we are strict with this, please limit the number of questions that you're about to raise to a maximum of two in order to give everybody on this call the opportunity to ask questions. Now before we start, as always, the operator is going to explain the procedure.
Operator: [Operator Instructions] The first question is from Tim Rokossa, Deutsche Bank.
Tim Rokossa: Well, Bodo, it's hard to believe that this is the last conference call with you after so many years. I'm glad to hear you found it mutually beneficial, at least most of the times, and I hope you also enjoyed it most of the times. I would have two questions, please. Firstly, thank you. And I'll see you next week, obviously. So I have two questions. Firstly, on the free cash flow side. It seems mainly to be a working capital issue, is that way -- is that the right way to think about this? And can we talk a little bit more about the working capital impact? You already touched a little bit on it more broadly speaking, but there seems to be this GLE issue in the US, when will that be fixed? Do we already see working capital coming back in Q2? When is the China dividend coming in and these sorts of items? And then secondly, can we also talk a little bit about vans please, this used to be a division that was good for 1 billion or so of EBIT per year. Now, it's obviously much lower. It may even be zero in the full year, according to your guidance, what's really going on there? And how are you addressing that? Thank you.
Bodo Uebber: Tim, first of all, thank you for your personal remarks. And of course, we will see us, of course in a couple of weeks anyway and talk about everything. First of all, the free cash flow of course is impacted by the earnings development as we have adjusted by the 700 million of financial services book gain. You see, we have an impact of more than 1 billion in cash flow due to the earnings developments. Secondly, of course, our working capital is roughly 2.7 billion higher than last year, Q1. Out of this, we expect the 2 billion we get back in the course of the next three quarters, it depends, of course on the sales development and production and inventory development over the quarters to come.  They are all three quarters is related to Mercedes car group, 25% is the combination of past trucks and advance. Of course, the topic we had in the first quarter is the availability of cars. And that is, there's two reasons. One is due to the certification process on the one hand, which has of course a certain, more time and the process is longer than before. That is one topic, specifically for international markets. And the second is the production ramp up in Tuscaloosa.  I mentioned this also this morning in our press call. As you know, we have a totally new SUV platform on the one hand, we have existing suppliers and of course new ones coming to the SUV side of our business and this complexity of course leads to challenges, which we’re optimistic that we can overcome these challenges, we have certain plan now for the next three quarters to come that we have a step by step improvement in the delivery position of the GLE and that of course would support also the -- finally the working capital development.  On the other hand, I have also mentioned Mexico. Of course, we are in a joint production with Nissan. The complexity is also high there. We see shorter term positive impact now, even that the combination of Aguascalientes plant in Mexico so that we also can come to a more normal course of business in this regard. So these three issues, which are all availability, so to say, are the reasons where we optimistic for the quarters to come to unlock the cash flow, which is locked into the working capital position.  Your last question with regard to van, of course, in general terms, I think what is very important for our company also for the long run and also for driving the valuation of the company is a management decision about bigger topics. And, of course, one of these issues is product. And, yes, we have analyzed our situation very objectively, in our X class business, we have come to the conclusion that we do not have a business case in Latin America. And I really – I do think it's a good decision now to say on this business case, before we started, yeah, we stop it, because the business case is not positive.  And then I think that is a sign of the -- for the management that we go in the right direction with longer term impact, of course, we have now burdens in the financials, but I do think for the long run, our van business, when we go forward with these kinds of actions, we'll get it back to the profitability we were. On top, of course, we have to solve the Charleston ramp up currently, which is also a challenge, but they -- also over the quarters to come, we will get into a better situation. And now looking forward, of course, we analyze further our product portfolio in vans and make sure that we get back to our long term profitability.
Operator: The next question is from Jose Asumendi, JPMorgan.
Jose Asumendi: Couple of items. And Bodo, also, all the very best, and thank you very much for the very interesting cooperation over the years.
Bodo Uebber: I get rich, you know, thank you.
Jose Asumendi: Anyway, couple of items. On trucks, if I adjust for the one-offs you took in q1, your margin would have been probably a few percentage points higher than what it was. Can you speak about what happened in Q1? Can you speak about -- a little bit about the logistic issues you're facing in the first quarter, the situation in Brazil? When do you expect to normalize all these logistic issues? Because clearly if you adjust for the one-offs you took there in Q1, which have been going anyway for the past probably six months or so, your margin will have been substantially higher than that. Second point, just going back to cash generation, just to get the statement from you, how do you see cash generation progressing across the quarters? And just the simple question is, do you expect to cover the dividend payment with free cash generation in 2019? How confident are you with regards to this topic? Thank you.
Bodo Uebber: First of all, with regard to trucks, first of all, the message I do think the management of truck is keen to develop the truck business into the benchmark position. So, that was true from, as we said in February and that is true from as of today. In the current market environment, we do have and the efficiency program, which was done by truck, we have the opportunity to get to our 7% to 9% guidance, which we have outlined in the beginning of the year. And that is true as of today, and of course is -- the task is to get to this benchmark level and make truck the benchmark in the industry, I would say.  Now, coming back to the topics in Q1, of course, we have raw material impacts in the first quarter. We see some opportunities in the next quarters because these are old contracted raw material, so to say. We have supply chain constraints as we had it last year in the second half of 2019 mainly and this will go better in the next two months to the end of the second quarter, we get hopefully to a normalization of the supply constraints, which is helpful. Of course, as we know, we have a huge order backlog in NAFTA, which we would like to deliver to our customers. Secondly, of course, we are also investing into connectivity and electric and autonomous driving in trucks, which was a burden also in the first quarter and we had some valuations, which we hopefully will not have in each and every quarter to come. Having said this, the first quarter is always a weaker quarter in trucks, when you look back into our past. Yes, we are starting slow as always, so to say, and it will be better by -- far better in the second half of 2019. That's the story, the target is clear. And the truck guys know what they need to do and want to do for the quarters to come. Second thing was about the cash generation, about the next. So we don't -- Jose, as you know, we don't do quarterly expectations of cash generation, as was already pointed out, there is this 2 billion impact that will come rolling and the higher sales, so to say, on the one hand, and we can accelerate by the progress, I expect, of course, higher impact in the second half than in the second quarter, because we have a step by step improvement, as I already said, in Tuscaloosa in Mexico, but also with regard to the certification process. So that would be the pattern for the year, we keep our guidance, as we have said at the beginning of the year to be slightly better than last year. And now you can calculate your expectation of the dividends. Of course, as we said, the policy in dividend and our target has not changed in the last few months.
Operator: The next question is from Arndt Ellinghorst, ISI Evercore.
Arndt Ellinghorst: Bodo, a quick question on net liquidity, you're currently standing at 11.3 billion at Daimler, 3.5 billion is going to leave the company for the dividend. You will certainly need some cash for the restructuring that's upcoming. And I assume you want to increase your stake in your Chinese joint venture partner. So the question is really what's the minimum net cash level that you have in mind that Daimler shouldn't fall below? And then secondly, just briefly, looking into the third quarter, and after WLTP last year, should we expect any meaningful disruptions from the RDE certification that's kicking in, in September? Thank you.
Bodo Uebber: So, Arndt, first of all, your second question with regard to the RDE certification, other than that, we have currently in the WLTP process, of course, a lot of work to do. We don't see with the disruption for the September date that the -- the first question, of course, we like to keep the net liquidity on board, you know that the 11.3 billion is reduced by the IFRS 16 lease accounting by 3.2 billion, we are heading for this year for a cash flow of slightly better than last year.  So that should also keep the net liquidity on a certain level. As you know, we are -- we need -- of course, we are with -- due to rating agency requirements, we are keeping the net liquidity pretty high, because we have this 12 month flexibility target and that should in today's time, earnings is a little bit under pressure. I do think it's very important to keep your liquidity on board. Just also from a rating perspective. And as you know, we have a big financial services portfolio, we should stick at these high levels, if we can, of course, there might be some certain outflow, which we might need.  But I don't think that. So even if we need some money for efficiency measures whatsoever, and portfolio measures in the future, I do think that is, on the high level, we can afford this. And other than this, I do think there's no necessity to go to very low levels, not in the today's time, where volatility is high. And, we have certain other risks on board also from a political point of view and so on. Of course, you can go lower, but I don't want to discuss it now, not in this environment we are in right now.
Operator: The next question is from Dominic O'Brien, Exane.
Dominic O'Brien: Two for me, the first one is on the other cost changes that you report in the bridge for Mercedes. And I was expecting this number would be substantially negative for the full year with the offset being an accelerating volume price mix in the second half. But it appears that Mercedes has started off the year in positive territory there. So can you just give us an idea of what's going on in the other costs changes? Are we already seeing cost savings kicking in? Or is the R&D burden not as high as expected? And how should we think about that for the full year? And my second question is on this lack of product availability at Mercedes, can you just detail to us what are the certifications here, what is the split between the certification issues and the GLE issues? And is this still WLTP, is this diesel, how many cars are affected, et cetera? Thank you.
Bodo Uebber: Dominic, thank you for your question. So, in Q1, you see positive effect in other cost changes. There are certainly of course, some effects which are -- which is based on this. One is that by building up inventory, as you know, we have fixed costs which are capitalized in the working capital. That is, of course, one effect. The second is that you know that we have the leasing part as we do have a push down accounting. So leasing is on the Mercedes car group in accounting that has another positive effect in this quarter.  And we have from a sales perspective, sales cost valuation, some savings, also the third element, all of these three items if they put them together, they are so to say exceeding the positive number we have disclosed, 172. So that means that the other way around, of course, we had negatives, yes, in terms of R&D spending, as we had in the last year, in manufacturing capacity and product and so on and material costs. For the full year, we are expecting a negative number of 1.5 billion in total for the year 2019. That is the latest estimate we have for other cost savings.  Your last question with regard to product availability and so on. So your understanding, we are not going into the details how much is certification, how much is the other baskets of Tuscaloosa and Mexico and so on. As I said before, we will unlock 2 billion of working capital, 75% is Mercedes car group, which is 1.5 billion over the quarters to come. And that is how we cope with the issue.
Dominic O'Brien: Okay, thanks. Just a quick follow up, sorry, is this a WLTP or a diesel issue in the certification?
Bodo Uebber: WLTP and diesel, both effects. WLTP is gasoline. Everything, so to say, so it's a certification because it includes everything.
Operator: The next question is from Stephen Reitman, Societe Generale.
Stephen Reitman: Looking at CO2, you mentioned that you're starting deliveries of the EQC in June. Can you say, is this going to be in reasonable volumes? Or are you expecting to hold back, as many orders as you can, and actually deliver the bulk of the cars in 2020, when you can earn the supercar that's all, they'll be when they'll be the most useful to you. And if you can say a bit more about the -- your strategy for meeting the 103 gram level that you’re required to by that time.
Bodo Uebber: Stephen, thank you for your question. First one, of course, also your understanding, of course, as we know, the EQCs are first, not all, very first, but is the first EQ car, Mercedes Benz, SUV, full electric. And of course, we have to make sure that the quality is really as customers like it, so I would like to avoid to tell you a number. Because finally we have to make sure that these cars are in quality, in maturity, delivered to customers, and therefore we will have a quality based approach, in delivering these cars and I don't want to put any number of now and match it and that we don't get under pressure to deliver differently. So as per your understanding. Secondly, of course, our generators, of course, to cope with our regular regulatory requirements in all the regions, as you know, by 2022 of course, we have 10 full electric vehicles of the EQ brand, we have 34 plugin hybrid variant, we have 101 cars with 48 volts equipped and so on and so forth. So in total, 130 electric variants, almost in all segments of our business in our portfolio. And that is the answer to how to cope with the regulatory requirements in all the regions we do have. And of course we have to see that we match all of this with certain dates of 2020 or 21 and certain different regulations, but is the plan of record? We do have and this we are following, of course.
Operator: The next question is from Patrick Hummel, UBS.
Patrick Hummel: Two questions please, Bodo. First one, regarding the collaboration and partnership with Renault, Nissan, Smart is now moved into a partnership with GLE in China. And there have been several headlines over the past few weeks that the operational collaboration between you and Renault could come to an end. So, is there any strategic value still in owning the Renault and Nissan stakes? And is there any comment you can make in terms of the partnership you aim to have with these companies over the next few years?  And my second question, I think it's fair to say that you've been the one in the board of management at Daimler that has nurtured and grown the mobility business. And now you've merged it with BMW, would you say, by now, it has a critical mass to be a standalone listed entity?
Bodo Uebber: Patrick, thank you for your questions. First of all, let's look at the picture of co-operations very positive. We use co-operations as a lever to do better in terms of product or costs or saving investments, doing a win-win situation. Therefore, what we did now is Geely on the one hand, we had two projects now, what we have -- what we do with BMW, on the other hand, is all good and positive. And what we have here is Nissan is all good and positive, because we are only doing projects where we have a win-win situation.  The engine piece, for example, is delivering well. So it's for both sides, win-win and we both sort of say save something or earn something in this regard. We have small -- also our production of course in Mexico, where we have joined production. So therefore, there's no reason why we should go further on with this cooperation. And I pointed out also this morning, that we obviously together and ask ourselves where we -- can we do more. So and that is a reason why we are keeping the cooperation with Renault, Nissan.  As you remember, with the shares, not by, it's not a negative. So, we have moved the shares into our pension assets that we have done three years ago, roughly Yeah, and therefore, of course, it is working, so to say, for our -- maybe also for me in the next at some point of time, but anyway for our pensioners, and that is of course a good asset and then we are keeping it. Your second question was with mobility services, of course, I do think we are we – of course, our objective is to be a relevant player. I do think we can say this for Europe. Of course, we are because we are one of the top three mobility services companies in Europe, we have a very good stance in ride hailing, we are the biggest as far as I know in car sharing -- flexible sharing, for example, and therefore, of course, and we will invest of course, money to sustain or position or even to enhance our position in Europe. Of course, we have also a bigger asset in Latin America, which is good, which is developing also very nice. So, the name of the game is to defend the position on the one hand and to enhance the position on the other hand for the future to come and therefore, we have a certain growth, how we use this growth is something of course, which of course and our partners in BMW will discuss. As you know, we are open for other partners in the future to do development -- develop it further the mobility services. Currently, we have no plan to IPO the business, because its first of all, the objective is to get the better position in, first of all, in Europe, but also in Latin America. And as you can stay in number one or number two position of course, your position is a good one.
Operator: The next question is from Angus Tweedie, Citigroup.
Angus Tweedie: Hi, thanks for taking the questions. The first one, can you just discuss your comments around pricing in Mercedes Benz cars? I think you pulled out some softness in Q1, how do you see that developing over the year? And then secondly, could you just give us a quick update on where you see FX and raw materials shaking out for the group for the full year? That'd be helpful.
Bodo Uebber: Thank you for your question. First of all, the pricing situation right now in Q1 is not worse than in Q4 or 3, it has stabilized, so to say, over the time. Of course, what we do have in last year in first quarter, we had a better situation. And therefore, of course, the pricing delta, of course, is one element, which we need to implement on the quarterly development. But of course, we have not deteriorated against the last five to six months in 2018. I do think that is important to know. And we expect further stabilization over the quarters to come.
Angus Tweedie: Can I -- sorry, I just follow up on that. Should we not expect to bounce back in the second half on pricing?
Bodo Uebber: Yes, with the new product and further development, yes. So stable to positive compared to Q1. FX, of course, I have already commented at the beginning, we see the impact for the whole company between 500 million and 1 billion. That is certainly somewhat better than we have pointed out in February. The development is cars is volatile, currently looked into the further strengthening of the euro today, for example, of course, all of this is helpful, although we are pretty much hedged in the big currencies, of course, for this year. But that would help of course in the future.  We will see where we will end up this year. As I said before, there's a bandwidth of 500 million to 1 billion that is mainly related to the negative effect to Mercedes car group. The truck group has positive effects due to translation effects. Raw materials, we said, up to 500 million in the beginning of the year, it seems to be that we get some leeway in this number. So there is a positive trend towards this 500 million, how much we will see. But it could be slightly or significantly lower than the 500 million for the total year.
Operator: The next question is from Horst Schneider, HSBC.
Horst Schneider: First of all, I want to ask a question on this -- the cost savings you talked about that you need to increase at Mercedes Daimler group total. I just want to get a feeling when we get more details on that, is that really in summer or is that more with a broader strategy programs and end of the year? Has something changed in that? Then the second question I have is on trucks. I'm surprised that the business is so strong in Europe. At the same time, I see that the order intake is down in Europe. I just want to know when basically the sales dip in Europe and what is the pricing situation in Europe as well. And also maybe you can reiterate the other cost change guidance for trucks. Last one that I have is on Mercedes and Geely again, your co-operations that you did, does that have any impact on your relationship to bike, is there kind of power struggle developing between bike and Geely. Thank you.
Bodo Uebber: Horst, thank you for your questions. So, first of all, as I also pointed out this morning, of course, the guidance for this year is quite clear. We have given guidance to the car group corridor and also to the truck corridor and if you see that for this year, of course, we are beginning and starting at the lower end of this bandwidth. If you have seen and we will develop further in the, mainly in the second half, we will get on track towards our guidance for this year.  For the general discussion about the strategy and profitability and the measures, how to get on the final target ranges, which we have outlined in February, the 8% to 10% on the one hand, but also the 7% to 9% on trucks. And even not that, but also on growth perspectives and other topics, I asked the understanding that will more happen in the second half of this year, and not in the first half. So as you know, that teams are working on this and therefore, don't expect that in second quarter that is the second half year topic in ‘19. Second question on trucks. Of course, the business is strong. Europe, of course, and overall, the GDP development is 1%. Of course, we could deliver more this year, always. But 1%, as you know, in Europe is not so bad. We are coming mainly at a peak of 2%. So the general development also in Germany is quite okay. The pricing situation is, as it was last year, so there's no further effect, which is first of all good news. As we have seen increasing competition over the last couple of years somewhat, so there's a stabilization.  So, therefore, we have not changed our markets guidance in Europe or even though order intakes are heading into this directions in general terms, so, therefore, the situation has not pretty much changed. Cost guidance for trucks for the next three quarters to come, 150 – is 500 million for the total year. That is the guidance for truck. So on the cooperation side, with regard to whom, this is with regard to bike and others of course as you know, we are not talking about cooperation any way something, if there is something of course, we will announce it. But I do think it makes no sense to speculate before we come to any results of any cooperation with any company.
Operator: The next question is from Christian Ludwig, Bankhaus Lampe.
Christian Ludwig: Yes, good afternoon. Also two quick questions on my side. First of all, on your guidance cut to the van business, you're taking out the 5% margin chunk on EBIT? How do you want to make that up for the group, because you haven't changed the group guidance? And the second question would be, could you give us an idea on how many GLEs are in this working capital build up that you will hold and sell off through the rest of the year? Thank you.
Bodo Uebber: Christian, thank you for your questions. Of course, the guidance of Daimler Group is the composition of the divisional group guidance we have given, including financial services, including there, of course, the 700 million impact on the book gain of getting the two pieces of BMW and Daimler together. So all of this sums up to our group guidance. I can't give you more details on this question. Your second one is, of course, we have -- I have already pointed out that we don't give any further disclosure on the working capital side. But I had said that we aim for 2 billion unlocking of working capital against Q1 and that is 75% is Mercedes related, 25% commercial vehicle, including vans. That is what we give as detail in this regard. Sorry to say so.
Operator: The next question is from Philippe Houchois, Jefferies.
Philippe Houchois: Good afternoon. Thank you and congratulations, Bodo. Look forward to hearing what you’re doing next. My question is on the truck order intake, down quite a lot of course. If I understood right, what Volvo was saying earlier this week, they seem to be talking about them not taking new orders, given the size of their current order book for planning purposes. So I'm just trying to understand the drub we saw in the order intake, is it an indication of underlying demand for trucks orders or are you also kind of delaying some of the building of book because you're not necessarily in a position to commit to delivery dates, so trying to reconcile the order intake versus the true underlying demand for trucks in the market, if that’s possible?
Bodo Uebber: So, thank you for your question. I can only say we do the same as Volvo does, is doing. So we don't take orders now, because we are full for the year, we have an order backlog, which is huge. And that defines, of course, today's production plan and also our increase in sales in the NAFTA region. So there's no difference.
Philippe Houchois: Yeah. So would you be able to say, for example, at this stage, if you really took no orders at all, how long would you be keeping your plan, et cetera and capacity? Are you looking through the middle of 2020? Or what's kind of the timeframe for the existing order book.
Bodo Uebber: It's mainly – it leads into the year 2020. But as you know, the American system so to say, we have in October, we have the new order cycle, so to say, and that fills up the year 2020. So it reaches into the year 2020. But of course, it does not make up 2020. So the order cycle in October is necessary to fill it up.
Bjorn Scheib: So with this, we now end the official part of the Q&A session, as far as I understand, Arndt would love to have the last word in the name of the entire community.
Arndt Ellinghorst: So but really Bodo, after 15 years as CFO of Daimler, I thought it's really, really important that need to say a big, big, thank you on behalf of the entire finance community, for your support and all the discussions. And this despite really many, many ups and downs over the years, certainly some very controversial discussions with all of us. And you've always allowed us to have a very open and constructive dialog. And you also consistently engaged with investors, during all the good and also the tricky times. And may I also say that you have gained a lot of respect for being a driver of key strategic decisions within Daimler.  And I said in the note recently, Daimler without Bodo is like Starbucks without coffee. Insiders get that this is related to your preference for a good cup of coffee during roadshows. So be assured, we will always have a Starbucks ready for you, whether that's in London, in New York, or elsewhere. We all wish you a really fantastic healthy and success future. And again Bodo, thanks so much for all the great discussions with all of us over the years. Thank you very much.
Bodo Uebber: Thank you, Arndt. No, I'm perfectly read of course. But thank you for your words and for the support I got from all of you. Again, and of course it's now time to say goodbye, you have another 25 days to go. It's not easy. Yeah. Because you know you make this decisions once in your lifetime. And after such a long time, it makes it even more difficult, but I'm -- on the other hand, I'm also heading to a new phase of my life, which will be also nice and good. And I will remember the time I had in Daimler and specifically with all of you on the sell side and the buy side.  And guys, of course, you have given me a lot of input of the work, how to develop Daimler further. So the takeaways we can get from you into the business was a value adding and therefore also I opened up and discuss with you a lot of things and I like -- very much like the relationship I had to all of you, specifically of course, the ones I got to know in the roadshows very much, not only on the business side, I do think we have also get to know on the personal side, which is again at the very end, by far stronger than anything else. Thank you, Arndt also for your words. And, I think we will drink at Starbucks together.
Arndt Ellinghorst: Perfect, Bodo. And also send our best regards and a big thank you to Dr. Zetsche. He's not on the call. And obviously, he will be back at a different level. Thank you also goes to him.
Bodo Uebber: Thank you very much and again please support Harald as you have done it with me, and the finance team of Daimler and then we are heading into a ride share price development. Thank you.
Bjorn Scheib: So ladies and gentlemen, thank you very much for all your questions and all the feedback at the end of this conference call, all of which is highly, highly appreciated. Very important, this company is not being run by looking into the rear mirror. Now, we are moving forward with Harald and Ola and you entire management team. But Bodo, thank you very much for hosting all these conference calls, answering all these hundreds of questions. We had the team putting together, how many questions it had been.  Nobody wants to know how many these are, because they are far too many. Now, Investor Relations remains at your disposal to answer any of your further questions you may have. To all of you listening from the internet and on the phone, have a great afternoon, a great morning or a great evening. We look forward to see you soon. And last but not least, welcome, Harald and we look forward to have all our conference calls with this community going forward. Thank you and bye-bye.